Operator: Good afternoon and welcome to the Nephros Inc. Third Quarter 2023 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kirin Smith of PCG Advisory. Please go ahead.
Kirin Smith: Good afternoon, everyone. Thank you all for participating in Nephros third quarter 2023 conference call. Before we begin, I would like to caution that comments made during this conference call by management will contain forward-looking statements regarding the operations and future results of Nephros. I encourage you to review Nephros' filings with the Securities and Exchange Commission, including without limitation, the company's Forms 10-K and 10-Q, which identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. Factors that may affect the company's future results include, but are not limited to, Nephros' ability to successfully, timely and cost effectively market and sell its products and service offerings; the rate of adoption of its products and services by hospitals and other customers, the success of its commercialization efforts and the effect of existing and new regulatory requirements on Nephros' business and other economic and competitive factors. The content of this conference call contains time-sensitive information that is accurate only as of the date of the live call today, November 8, 2023. The company undertakes no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call, except as required by law. I would now like to turn the call over to Nephros' Chief Executive Officer, Robert Banks. Robert, please go ahead.
Robert Banks: Thank you, Kirin, and good afternoon, everyone. I'm very pleased to welcome you to the third quarter earnings call. We are quite happy with our third quarter results, especially our revenue of $3.7 million and a 55% increase over last year. Nephros has delivered high levels of sustained growth over the past three quarters with growth margins up significantly from the same period last year. In addition, our cash flows in 2023 have been consistently positive totaling over $1 million so far this year. We will remain laser focused on financial growth and are committed to offering compelling value proposition for our infection control and dialysis customers. Furthermore, our commercial filtration business continues to mature under the efficient operating model we have in place. Overall, I am very encouraged. Next I will explain some of the drivers of the growth we have been experiencing. First, we have been tactically focused on strengthening our distribution channels and cultivating deeper, more worthwhile relationships with partners whose goals and priorities align with our own. So far we have seen increased sales within existing sites and larger sales per transaction. Second, we have strengthened our emphasis on converting emergency response customers to ongoing programmatic relations. In other words we are working hard to convert sales that might have otherwise been one-time events into recurring long-term business relationships. We love recurring revenue from programmatic business and our customers enjoy the ongoing protection we provide. So far we are seeing positive impact from these efforts across our territories. Third, we have maintained inventory resiliency, a meaningful differentiator in the infection control space as our competitors often struggle with product availability. We are confident that our enduring ability to provide products when customers need them while delivering high quality solution and unmatched customer service. This will allow us to continue gaining market share. And finally, we have begun to see growth trends as a result of the ASHRAE 514 standard, which focuses on the risks and actions healthcare institutions should take to protect their patient populations from waterborne pathogens. The ASHRAE organization develops national building standards which may influence the codes and regulations for the built environment. While the new standard is not a regulation, we believe it positively it is impacting demand for our products. I would now like to welcome Judy Krandel, our new Chief Financial Officer to the call. Judy will present some of our key financial results. Andy Astor is also on the call and will provide historical context and additional color as needed during the Q&A portion of this call. Judy, please go ahead.
Judy Krandel: Thanks, Robert. I'm very pleased to have joined Nephros and look forward to helping build a terrific company and fast growing business. I will now provide a closer look at Nephros' financial performance in the third quarter. We reported third quarter net revenue of $3.7 million, a 55% increase over the corresponding period in 2022. Also year-to-date revenues for the first nine months of 2023 were up 48%. Net loss from continuing operations for the quarter was $0.2 million compared to $1.3 million in the same period last year. Adjusted EBITDA in the quarter was positive $11,000 compared with negative $0.3 million during the same period in 2022. Gross margins in the quarter were 59% compared with 32% in 2022 and 84% year-over-year increase. Research and development expenses in the quarter were $0.2 million compared to $0.3 million for the same quarter in 2022. Sales, general and administrative expenses in the quarter were $2.1 million compared to $1.7 million for the corresponding period in 2022. Net cash provided by operating activities was $548,000 in the quarter and $1.1 million for the nine months ended September 30, 2023 compared to net cash used in operating activities of $172,000 in the same quarter last year and approximately $3 million used in the nine months ended September 30, 2022, an improvement of $720,000 and $4.1 million respectively. Our cash balance on September 30, 2023 increased to $4.6 million compared to $4.1 million as of June 30, 2023 and we continue to remain debt free. Please refer to today's press release for more details about the calculation of adjusted EBITDA and its reconciliation to GAAP net income or loss. Additional information about our results will be found in our filing on Form 10-K, which we plan to file later this month. I will now turn the call back to Robert for some closing remarks. Robert, please go ahead.
Robert Banks: Thank you, Judy. And I want to touch base briefly on a special topic mentioned in our press release, an important metric we should report each quarter is a number of active customer sites, ACS, which we will define as a number of customers that have purchased products over the past four quarters. We recently made a database change that impacted the calculation of ACS and yielded different results than those previously reported. There is a table in today's press release which shows the revised calculation retroactively over the past two years. While the absolute numbers are slightly lower, our positive growth trend over the past several quarters is not materially impacted. Indeed, for the third quarter, the ACS count increased 7% over the same period last year and increased 3% quarter-over-quarter. To summarize, the third quarter demonstrated an ongoing trend of significant growth for Nephros. While 55% increase in net revenue over previous year and 4% year-to-date net revenue increase and sustain positive cash flow results, we believe we have achieved a path towards sustained profitable growth. As I mentioned earlier, we have strategically focused on reinforcing appropriate distribution channels and converting emergency response sales into programmatic business and maintaining strong inventory. We believe these efforts combined with the potential impact of the new ASHRAE standard well positioned Nephros for growth and advancement in our customer markets. In conclusion, I want to thank our investors, partners, customers and employees for your continued support and confidence in Nephros. We look forward to updating you on future achievements and continuing to create long-term value for our investors and stakeholders. Operator, please open the call to questions.
Operator: [Operator Instructions] The first question comes from Thomas McGovern with Maxim Group. Please go ahead.
Thomas McGovern: Hey guys. Thanks for taking my question. So first question is just on something that you've talked about before and mentioned in this call, you cited one of your key drivers for success was your ability to maintain your inventory resilience. So if you could just kind of refresh us, just go through what has caused some of these supply constraints in the infection control space and what you guys have done to insulate yourselves? And maybe if you could talk a little bit going forward throughout the rest of the year into 2024 how you guys expect, do you expect those challenges to persist and do you expect whatever steps you've taken to insulate yourself to continue to do so despite potential larger industry wide headwinds? Thanks.
Robert Banks: Thank you, Thomas.
Andy Astor: Thank you, Thomas. Oh, I'm sorry. Go ahead, Robert.
Robert Banks: Andy you start and I'll finish at the end with some further thoughts.
Andy Astor: Okay. Thomas, good to hear your voice. We basically, we keep too much inventory on purpose. That's really the bottom line. We have our supply chain that takes about half a year from order to receipt and so we can't order instantly when our supplies are low and yet our customers have a need to, if they have an emergency, they can't wait months for their supply and so part of our whole financial modeling program that we've implemented from the very beginning is try to keep too much inventory on hand. If you look at the 10-Q right now, you'll see that inventory has dropped from over from around 5 million to about 2.5 million, which is great because we did right size that, but now that we're growing, we're actually ordering a lot more and doing that to make sure that we can continue to meet customers demand, particularly emergency demand quickly. So it's really that simple. It's just we keep a lot of stuff on the shelf. I hope that answers your question.
Thomas McGovern: Yes. No, that that's helpful. And so I guess just on the other part of that question, looking at the industry as a whole, is that just a practice that that isn't widely exercised? Is it just, is there anything that's kind of disrupted their access to supply or is it more that they just weren't prepared and weren't able to fill some emergency orders that maybe you guys were able to pick up?
Robert Banks: We're not privy to why our competitors don't have enough on the shelf and frankly, it's not something that we focus a lot on trying to have intelligence about. What we do know is that supply chain shortages are common in our business and we try not to be on the list of the companies that have that problem.
Thomas McGovern: Understood. I appreciate that color. And then one last question then I'll jump back in the queue. But could you guys give us an update on your relationship with Donastar, kind of how things were trending on the commercial side of the business? I think last call you mentioned that it might have accounted for somewhere around 10% or something like that of the total business. If you kind of give us an idea of what it's accounting for now and just generally high level how that relationship is maturing and what your expectations are moving into 2024? Thank you. I appreciate the time for taking my questions.
Robert Banks:
Tractor:
Thomas McGovern: Great. I appreciate it and Congrats on the quarter guys.
Robert Banks: Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Robert Banks for any closing remarks.
Robert Banks: I just wanted to take the opportunity to thank everyone for joining today. I really look forward to talking to you all again in future meetings and have a great rest of your week. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.